Operator: Good morning, ladies and gentlemen, and welcome to Group 1 Automotive's 2022 First Quarter Financial Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the call over to Mr. Peter DeLongchamps, Group 1's Senior Vice President of Manufacturer Relations, Financial Services and Public Affairs. Please go ahead, Mr. DeLongchamps.
Peter DeLongchamps: Thank you, Chuck, and good morning, everyone, and welcome to today's call. The earnings release we issued this morning and the related slide presentation that include reconciliations related to the adjusted results we will refer to on this call for comparison purposes have been posted to the Group 1 website. Before we begin, I'd like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties which may cause a results in future periods to differ materially from forecasted results. Those risks include, but are not limited to, risks associated with pricing, volume, inventory supply due to increased customer demand and reduced manufacturing production levels due to component shortages, conditions of markets and adverse developments in the economy as well as the public health crisis related to the COVID-19 virus and resulting impacts on demand for new and used vehicles and related services. Those and other risks are described in the Company's filings with the Securities and Exchange Commission. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the Company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating with me today, Earl Hesterberg, our President and Chief Executive Officer; Daryl Kenningham, our President of U.S. Operations; Daniel McHenry, Senior Vice President and Chief Financial Officer. I'll now hand the call over to Earl.
Earl Hesterberg: Thank you, Pete, and good morning, everyone. I'm pleased to report that for the quarter, Group 1 generated adjusted net income of $185 million from continuing operations. This equates to adjusted earnings per share of $10.81 per diluted share, an increase of 96% over the prior year and an all-time quarterly record. Our adjusted results exclude noncore items totaling approximately $16 million of after-tax gains, which resulted from the sale of two franchises in Boston, as well as excess real estate in the U.K. These results were largely due to a record-setting U.K. performance, significant contributions from our recent acquisitions, continued strong vehicle margins that were able to more than offset weaker vehicle supply, continued double-digit growth in our U.S. after-sales business and impressive cost control. Consumer demand for vehicles remains extremely strong exiting the first quarter, and we continue to sell most units almost immediately after OEM delivery. This dynamic should continue throughout the year. As with the U.S. consumer demand for vehicles in the U.K. is extreme and new vehicle availability is severely constrained. We have a total U.K. new vehicle order bank of more than seven months right now with orders for some of our key luxury brand models now extending into 2023. We believe pent-up demand built over the past several years due to both Brexit and the very strict pandemic lockdowns will help drive strong U.K. vehicle demand into the foreseeable future. We believe our U.K. exposure, which is focused on major luxury brands such as Audi, BMW, Mercedes and Land Rover is a meaningful tailwind for our company. We're also seeing continued strength in the state of Texas. The market collectively outperformed our total U.S. same-store growth in new vehicle sales, used vehicle sales, after sales and net profitability. Texas demographic trends continue to be a positive tailwind for the Company due to population growth, reasonable cost of living, low taxes, and a friendly business environment. We believe this is both a near-term and longer-term advantage for our company. To provide some color on our U.S. first quarter performance, I'll now turn the call over to Daryl Kenningham.
Daryl Kenningham: Thank you, Earl. Once again, the factors contributing to our outstanding quarter were great growth in all segments of our U.S. business, combined with the continuing focus on controlling costs and driving productivity in the face of very limited vehicle supply. As of March 31, we had 3,100 U.S. new vehicle inventory units in stock, representing a nine-day supply, which was flat from year-end. Our used inventory situation is stronger at 28 days. Our same-store used vehicle retail unit sales declined by 4% versus the first quarter of 2021. Despite significantly fewer trade-ins due to a 17% decrease in new vehicle unit sales. Improved focus on sourcing resulted in acquiring more than 7,400 vehicles directly from individuals through AcceleRide, which was nearly a 300% increase from the first quarter of 2021. In addition, we wholesaled 1,700 fewer units during the quarter as we are focusing on building retail inventory. Those vehicles carry a bit lower retail PRU. However, trade-off as our F&I attachment rate is high. We believe the most important profit driver was once again our after sales performance. We've placed additional emphasis on technician recruiting and retention. And based on the attractiveness of our four-day work week schedule, we increased our same-store technician headcount by 16% versus the first quarter of 2021. After a very strong 2021, our customer pay same-store revenue grew 19% versus the first quarter of a year ago. Our same-store collision revenues increased 28% and wholesale parts revenues increased 29%. This allowed us to grow same-store total after sales revenue by 19% versus a year ago despite continued declines in warranty work. We foresee after sales continuing to improve sequentially over the course of the year. The final major factor driving our outstanding profit performance was continued cost discipline. Our first quarter adjusted SG&A as a percentage of gross profit was 60%, down from 63% in the first quarter of 2021 and down from 74% in the first quarter of 2019. A material part of the improvement is due to productivity gains, which will be a permanent benefit. And now to AcceleRide, we couldn't be happier with our results as customers continue to demonstrate that they want to do business through AcceleRide. We sold 5,800 vehicles to AcceleRide online in the first quarter, representing over 9% of our total U.S. retail sales. These 5,800 sales were up 22% sequential increase over the fourth quarter of 2021. In addition, we've launched AcceleRide in all of our new acquisitions. And Acceleride is bringing a new level of professionalism to our sales teams. It's simpler, more transparent and faster and customers are responding. Aside from our volume increases, AcceleRide customers are more loyal to Group 1, drive more F&I profit and provide higher lifetime value to us and we continue to make enhancements to AcceleRide. As an example, we now offer delivery in every U.S. dealership. In the first quarter, nearly 700 customers chose delivery and 70% of those customers choosing this convenience option are local, giving us an opportunity to provide future service through our outstanding after sales operations. In short, our customers continue to say yes to AcceleRide. We launched AcceleRide, the new dealerships during the first quarter. And because 60% of our customer interactions used AcceleRide in some way, we continue to see outstanding salesperson productivity results even in this depressed inventory environment. I will now turn the call over to our CFO, Daniel McHenry, to provide a balance sheet and liquidity review. Daniel?
Daniel McHenry: Thank you, Darryl, and good morning, everyone. As of March 31, we had $17 million of cash and another $199 million invested in our floor plan to offset accounts, bringing total cash liquidity to $216 million. During the first quarter, we amended and extended our U.S. syndicated credit facility for another five-year term. As part of this amendment, we increased our acquisition line capacity from $349 million to $500 million. As of March 31, we had $185 million available to borrow on the acquisition line, bringing total immediate liquidity to $401 million. We generated $319 million of adjusted operating cash flow in the first quarter and $293 million of free cash flow after backing out $25 million of CapEx. This capital was deployed through a combination of acquisitions, share repurchases, and dividends. As previously announced during the first quarter, we spent $115 million repurchasing 639,000 shares at an average price of $180.30. This represented approximately 4% of our beginning of year share count. Over the past two quarters, we repurchased nearly 10% of our shares. Our rent adjusted leverage ratio as defined by our U.S. credit facility was 1.8x at the end of March. This strong leverage position will continue to allow for meaningful capital deployment in 2022 if appropriate opportunities exist. Finally, related to our interest expense. Our quarterly floor plan interest of $5.3 million was a decrease of $2.2 million or 30% from the prior year due to lower vessel inventory holdings. Non-floor plan interest increased $4.3 million or 32% from prior year, primarily due to the debt rates in conjunction with the Prime acquisition. For additional detail regarding our financial condition, please refer to the schedules of additional information attached to the news release as well as our investor presentation posted on our website. I will now turn the call back over to Earl.
Earl Hesterberg: Thanks, Daniel. In 2022, we have continued our focus on high-quality external growth actions with the purchase of two large highly successful U.S. Toyota stores. These dealerships add to our existing scale in the Austin and Albuquerque markets and are expected to generate $550 million of annual revenues. Growing our U.S. and U.K. businesses remained our top capital allocation priority and we expect to find additional external growth opportunities in 2022. However, our balance sheet cash flow generation and leverage position will continue to support a flexible capital allocation approach which will likely include serious consideration of share repurchases in addition to pursuing external growth. This concludes our prepared remarks. I'll turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you. We will now begin question-and-answer session. [Operator Instructions] And the first question will come from Mike Ward with Benchmark. Please go ahead.
Mike Ward: If I'm not mistaken, your parts and service, the same store is the best in the group so far in the U.S. And I wonder, if you could just talk about it. I mean it looks like some of the digital activity is paying off. Customer pay was up. Warranty was down. Is that what I heard? And then also, can you talk about what have you done with the Prime acquisition? How has that folded in as far as the digital service appointments, those sorts of things?
Daryl Kenningham: Prime has completely integrated. All of the stores at Prime are completely integrated in every digital resource and tool and process that we have. AcceleRide went live there through the months of January, February. Digital service appointments are live there. So, we are seeing the same kind of traction in those, and we'll see, I expect for the rest of the year. And you're right about the CP growth and warranty, warranty was down a bit in the first quarter and CP growth is very strong.
Mike Ward: Now what percentage of the service formats are done digitally now?
Daryl Kenningham: Almost 40%, in the quarter, it was 37%, I believe, Mike.
Mike Ward: And that will continue to grow as some of these other acquisitions are integrated. Second thing on the inventory front, I think your U.S. inventory nine days, that's on the ground inventory, correct?
Daryl Kenningham: On the ground, what we can see, touch and sell ourselves, yes.
Mike Ward: Okay. How have your -- and do you have a percentage that of your sales that are basically being sold off the truck? Are they just coming in and going out?
Daryl Kenningham: Basically, it's somewhere north -- depending on the brand, but it's somewhere north of 60%, some brands as high as 80% or 90%.
Mike Ward: Okay. And how are your allocations in Q2 versus 1Q?
Daryl Kenningham: Hard to say. You've seen some things out in the press about the forward availability and those are as reliable as anything I can tell you, to be honest with you.
Operator: The next question will come from John Murphy with Bank of America. Please go ahead.
John Murphy: I just wanted to hit on cap allocation here real quickly. And you understand the buybacks that you executed in the last two quarters. But if you just look at the average weighted count used in the diluted EPS calc. Fourth quarter to the first quarter would indicate that you structurally improved EPS power by a little over 8%. And if we take the acquisitions that you made net of what you sold, very simply assume that you have a similar earnings power in that net $425 acquired, and that's another 3% plus to your earnings power going forward. So in the course of the quarter in the cap reallocation, it appears you've improved your structural EPS by north of 11%. It doesn't seem like you even used up all your cash generated. Is this something you can think you can just keep plowing through and keep executing on? Because I think it's something that's very misunderstood is that your -- there might be portions of the business we're over-earning, maybe not actually going forward. I think that's probably a little bit overblown. But it seems like there's a -- people are missing its redistribution or reallocation of redeployment, I should say, of cash and what it means for your structural earnings power is. Daniel, is there anything wrong with that general kind of math or thought process or sort of...
Earl Hesterberg: I think in terms of your math, John, you're 100% correct. I think one of the things that that people forget it to compare companies into 2019. It's a structurally different company. We've reduced our share count. We've added over $3 billion of revenues so far versus 2019. As we were as a company, I think we've just come out of the pandemic a much stronger company. The cash flows that we're currently generated can be reinvested, whether we choose to do that through then growing the Company further or additional buybacks. I just think the Company is structurally different going forward, and your math is 100% correct.
Earl Hesterberg: And John, this is Earl. Yes. We plan to continue down the same path. I mean clearly, our shares remain very much undervalued. But at the same time, we've been able to find some incredibly high-quality acquisitions with these Toyota dealerships, with Prime last year and couple of other dealerships we bought last year. So, we really don't see execution risk in the acquisitions and the math on the share buyback is incredibly compelling, and there's no execution risk. So, we think we're getting tremendous accretion from the way we're allocating capital at the moment.
John Murphy: Yes. Sure seems like it and widely underappreciated. I guess the second thing. You're kind of hearing these rumblings from certain folks in the used car market, even some new car folks talking about weakness in demand, which seems like the most bizarre thing given what you're seeing in pricing and what we generally hear. But is there anything you're hearing from consumers or ups as they're walking into showrooms or getting on to AcceleRide, where there's some potential weakness in demand? I mean, I understand pricing is something that might give people a little bit of a pause. But I mean, in general, it seems like the auto consumer is in pretty good shape today. I mean we hear different things. What are you seeing on the ground?
Earl Hesterberg: I'll start with that, John, then I'll let Darryl jump in because he's closer on the U.S. operations. But inflation is never good for the consumer, but clearly, it's going to hit the lower demographic sectors of the market first. And there is such a massive gap and has been such a massive gap for the last 18 months between supply and demand. But first of all, demand would have to come down on new vehicles a long way before it got anywhere close to supply. And much of our business particularly in the U.K. and into a large degree in the U.S., our luxury brand businesses and businesses such as Toyota Honda and so forth in the U.S. And our core customers, while it may be not ideal, we just don't have data that shows that that we're seeing less activity in our stores yet. And Darryl, I don't know if you want to...
Daryl Kenningham: Agreed. During the quarter, John, we saw our average selling price held up through the quarter in used. We saw the lead counts per inventory continued very strong and very consistent in terms of gross profit and pricing ability. So we haven't seen that yet. We watch it every day, but we haven't seen it yet.
John Murphy: And maybe I'd ask you to make a characterization, and I don't know if it's fair or not fair. But given the volume levels, maybe specifically talking about the U.S. that we've seen in aggregate for the industry for calendar year 2021 and what seems like it's going to transpire in '22. Earl, you've been in the industry for a long time. Would you characterize those as essentially recessionary level volumes right fulfilled, right? I mean, it's not necessarily the demand, so that you could almost argue that new vehicle out of demand has been in a recession for at least the last two years and probably going to be in it for a third year on the levels itself, not necessarily on the economics, but on the levels. Is that a fair characterization?
Earl Hesterberg: Absolutely. Absolutely, 13 million, 14 million SAARs, I mean that historically was a recession. And so -- and there's a lot of consumer purchasing power that is still pent-up from the lockdowns from COVID. People are still trying to spend money. And yes, I get it if you talk about the lowest demographic sector of the subprime used car market, all right? That's a very price-sensitive credit-sensitive market, but we're not in that market to any large degree. And inflation is never good for consumers, and in particular, the lower demographic sectors of the economy. That's a fact. But that's just not where our business is.
John Murphy: And then just lastly on parts and service, you kind of talked about this as really accelerating. But is there anything that's going on there that you can kind of quantify? I mean, you're saying you expect it to remain strong through the course of this year. On deferred maintenance, on people willing to maybe more maintenance on their vehicles because they're holding on to them longer, things that we kind of sort of on a short term and long term sort of think about sort of they're a little bit more structural and sticky than I'll just, hey, there's just some pent-up demand? I mean it seems like there's a lot more going on here.
Daryl Kenningham: John, this is Daryl. We've seen the trend in Q1 is similar to what we saw in Q4, the customer counts are up, but also the average spend per customer is up as well. So and that's not inconsistent with what we've seen in the last couple of quarters. So, we've seen that continue. I expect it will continue.
John Murphy: Do you have enough tax at this point? Or no, you need to hire a lot more.
Daryl Kenningham: We're continuing to hire tech and we're happy with the number we've hired. We've hired 16% of our -- we've increased our base 16% in the last year, but we want to continue to hire like there's more growth opportunity there. And the good thing is our four-day work week allows us to be flexible with our scheduling, and we can maximize the productivity of our shops without adding brick-and-mortar.
John Murphy: You have a cap number for your stalls? Or is that something you're looking at, Daryl?
Daryl Kenningham: We actually, with the four-day work week, we can have more tech than we have physical stalls, and we have that in several dealerships. So, we don't feel like we're limited by the number of physical stalls that we have. We're not at our physical stall limit yet on techs, but we could go buy that. And with the four-day work week, we do that in a number of stores. We have several more tech than we do stalls in a number of stores.
Operator: The next question will come from Daniel Imbro with Stephens. Please go ahead.
Daniel Imbro: Congrats on a strong quarter. Daniel, I want to start on the AcceleRide business. I think you guys said you sold 5,800 units in the quarter. I guess, how are you measuring what's sold online? Is that just what fully done online? What does that count units were part of it on online? And then what percent of those are getting a traded attached?
Daryl Kenningham: Daniel, this is Daryl Kenningham. The AcceleRide numbers, that's 9.6% of our business, 5,800 units, where it was. Those are people that start in AcceleRide and continue through the process and buy a car. They may hop out of AcceleRide at some point to come in and test drive a car or something like that. But those are people that start to AcceleRide process and then end up buying a car from us. So that's how we define and AcceleRide that. And then, there's 60% of our customers that touch AcceleRide in some way whether they trade a car in online using AcceleRide or whether they upload insurance and driver's license information using AcceleRide or whether they shop for inventory or value of trade through AcceleRide, that's over 60% of our customers are doing that.
Daniel Imbro: Got it. And then I wanted to just add that into the F&I. I think you made a comment, Daryl, that AcceleRide customers are driving more F&I per unit. I guess how does that compare to an in-store F&I per unit? And then taking a step back, just broadly, as rates rise, is it going to get harder to attach more products to each vehicle sold? Or how should we think about rising rates impacting F&I?
Daryl Kenningham: I'm sorry. Go ahead. I will answer the AcceleRide portion of that and then Peter DeLongchamps will answer the F&I impact moving forward. What we're seeing with AcceleRide customers is there's more attachment rate on FX for those customers that start in our AcceleRide, we are seeing that there's more attachment rate on F&I. And we're continuing to monitor that and believe that to be a long term and we've seen that over several quarters. And then, Pete can answer about interest rates and the impact of that on our PRUs.
Peter DeLongchamps: Daniel, this is Pete. Following up on Daryl's answer, it's about $140 higher on the AcceleRide versus in-store. And as far as rising rates, it is a -- the consumer looks at a monthly payment. So there's certainly a risk that if rates go up, that could affect some product penetration. We haven't seen that. The always things I'd like to remind you is that the captive finance companies, whether it's Toyota or Toyota Financial Services or BMW, they're there to support the dealers. And traditionally, they've come with incentivized rates, win rates get too high. So we're very pleased with our product penetration. I think the numbers show that we're executing on our plan. But I think for now, we continue to go.
Daniel Imbro: Great. And then one more, if I could sneak it in. Are you guys seeing any discernible impact in the oil patch just in the move in commodity prices yet? And if not, do you think that will show up this year as drilling activity picked up down in Texas?
Earl Hesterberg: Yes, this is Earl. Yes. Clearly, these high energy prices help a lot of companies in the oil areas of Texas, West Texas, Houston and a couple of the other areas. So that's good. I wouldn't say there's been more drilling activity and these companies have gotten very efficient and lean. But the other thing is these companies are also leading the energy transition in the new forms of energy. Texas now gets 20% of our power from wind if you can believe that. And the other thing that has really exploded in the last month or since this invasion of Ukraine is the future investment potential of LNG that is all centered within our markets here. So I think this LNG investment trend is likely to go on for some time. So the combination of this movement toward renewable energy and the energy transition of America, it's still going to be centered to a large degree around here. And then, the higher prices and the move toward LNG, all of that bodes well for our markets.
Operator: The next call will come from David Whiston with Morningstar. Please go ahead.
David Whiston: I guess first on used, you guys seem to buck the trend I saw some other dealers fight with recently in that -- your GPU was up despite some very high inventory acquisition costs and just curious, more aggressive on raising prices to offset those high procurement costs compared to some other players.
Daryl Kenningham: We felt like we had some opportunity, David, in our PRUs. And so, a lot of that is the way we're sourcing vehicles. We're not relying on outside auctions at all. We're keeping more vehicles, we're trading for more vehicles. We're buying more vehicles out of our service drives, 5,700 vehicles were acquired through AcceleRide. Those all have higher profit potential than anything we could go source from the outside. And so, I would say that's what's driving our incremental PRU improvement.
David Whiston: So 100% of the majority is coming from trades.
Daryl Kenningham: No, well north of 90% is being sourced organically though. There's less than -- far less than 10% from penny auction.
David Whiston: And there was a slide in the deck. I think it says AcceleRide retention is 71% higher than traditional consumers or maybe it was running at a 71% rate. It was higher than traditional. I'm just curious. Does that mean 71% of AcceleRide customers have already bought another car from you guys? Or is it just a portion that are coming for service after buying from AcceleRide platform?
Daryl Kenningham: After -- in the two years, we've had AcceleRide fully deployed, those customers are coming back to us 71% of the time versus 54% of the time with other customers.
David Whiston: Okay. And finally, just on pricing with the dealers all doing 7%, 8% EBIT margins. Just curious, have the factories ever come to you guys and basically said, you're doing an extra 200 to 300 bps of EBIT margin than pre-COVID and some of that belongs to us. I mean, it doesn't seem like there's been that tension or adversarial relationship the past few years.
Daryl Kenningham: Well, the factories, and you've seen it in all their own public releases and they've been very clear that they would like dealers to sell vehicles at MSRP. Philosophically, we believe that we look at these transactions in the long term relationship with a customer. And we want them to come back. We want them to have equity in their cars a year, two years, three years from now. And so that's philosophically why we approach our selling at MSRP the way we do. And the factories have been very clear. We've seen that this quarter quite a bit, and we see it in regular communications. But Earl, did you have something to add to that?
Earl Hesterberg: No, no. The only communication we've had is with most of them, that they would prefer that we don't have these markups of both MSRP, and we agree with that. I'm not saying we haven't sold a few specialty vehicles above that. But our policy is, if it's our customer and it's in our market area, we're selling these cars at MSRP and our feedback from our OEMs have been very positive in that regard.
Operator: The next question will come from Rajat Gupta with JPMorgan. Please go ahead.
Rajat Gupta: Great. The two questions that we get a lot. People are trying to understand what normalized earnings could look like for your company and your peers. And I think the two key uncertain areas, I mean, outside of like just new vehicle gross margins are what's going to happen with SG&A to gross and what's going to happen with F&I. Could you comment on each of them? Your productivity obviously produced to remain strong. Can you give us a sense of how your thinking has evolved over time in terms of what is a possible ratio there longer term. Obviously, GPUs are a factor, so maybe you can help frame in the context of some GPO scenarios? And then on the F&I, obviously, continue to crush that number every quarter. Stay like ASPs do come back to like 2019 levels. Like maybe that's not a realistic scenario, but like that is what it turns out to be how should you -- how should the F&I GPU look like in that scenario, given the changes you've seen on the service contract penetration. That will be all.
Earl Hesterberg: Well, let me just start with kind of the macro look. It's clear that margins are not likely to stay this high indefinitely, and that in a higher interest rate environment, F&I penetration per unit could also go down. So those are both gross profit numbers that could go down someday. And -- and we've proven our business model is one that when gross profit generation reduces, we have to reduce our cost, but we have a flexible cost structure. And that's what we continue to prove in recessions and in other times, like COVID when we have to adjust is we have a flexible cost structure. And that is the advantage of our business model. The other factor that should coincide in timing with such time as perhaps gross margins, whether it's F&I or on the vehicles start to decline, the volume should start to increase. And so, we all know there's upside new vehicle volume in the future. So those are the two factors that we have to leverage. At the point in time when either vehicle or finance margins softened down a bit, we have to reduce our cost and we have to make it up in volume. And clearly, the power of F&I is an incremental volume, right, maybe get $200 less a unit, but if you're getting more turns from selling more new and used cars, well, that's a powerful offset. And that's really how we look at it quite simplistically.
Peter DeLongchamps: John, this is Pete. I will -- thanks for your kind words on crushing it. But if you look at our trends over the last 10 years, whether it's through financially hard times, we've continued to execute through our training and our processes and our compliance piece of it. We've got terrific lender relationships that support it. I'll echo Ear's comments that the macro could affect it, but the process that we have in place in our company for F&I continues to execute.
Daryl Kenningham: We're seeing -- it's not just ASPs that's driving the PRUs up. We're seeing better product penetration, too.
Operator: The next question will come from Glenn Chin with Seaport. Please go ahead.
Glenn Chin: Congratulations. Most of my questions have been answered, but maybe a couple of quick follow-ons. So Earl, I apologize if I missed it, but did you say you feel like you've benefited yet from record energy prices? Or the supply is so tight that it's not even rarely apparent?
Earl Hesterberg: I don't think I could articulate that we benefited by some amount. But by being the largest retailer in Houston and in Texas overall, these things -- these macro factors in the energy transition, energy prices, investments in LNG and alternative energy sources. That's all great for our core market. That's the only point I was making. But I couldn't tell you. One thing I could tell you is that our Texas market did outperform our other markets in the quarter. Texas is a very diversified state, however, so I couldn't tell you it was just attributable to anything in energy.
Glenn Chin: Right, but I think historically, it lag time was thought to have been -- is it two to three quarters? Is that fair?
Earl Hesterberg: Yes, there's a time lag of some amount. That's correct. That's directionally correct. I just know that when oil prices and gas prices go down, we get hammered and yet one is strong. Nobody seems to care.
Glenn Chin: I care.
Earl Hesterberg: Okay, that's what I want to hear, Glenn.
Glenn Chin: And then, I'll make sure everyone else cares.
Earl Hesterberg: That's the spirit.
Glenn Chin: A follow on self sufficiency and your use of auctions granted, your use is very low. Your self sufficiency is very impressively high. Just given reason, M&A in the auction space, right, with one of your competitors acquiring ADESA. Are you guys any less likely to use them in the future either to wholesale or to buy from them?
Earl Hesterberg: Yes, we're less likely to use ADESA in the future.
Glenn Chin: Okay. Thank you. And then lastly, just going back to F&I maybe a question for Pete. I mean for years we thought this is the peak and it just continues to step higher. Do you still see room or headway for it to grow further, Peter? And would that be a function of increased penetration or product proliferation or both?
Peter DeLongchamps: So, any of the increases are going to come from additional product penetration. We've got -- we remain a 1% spread on rate, which we think is we're comfortable with. So increases you're seeing are increased penetrations on product and with customers, and we're up to 73%, 74% on penetration. So, I'll go back to -- we've got nine regional finance directors to do a terrific job of training. Daniel's audit team works closely with the operations to make sure we're in compliance and we've got a really good department that's executing. So, I expect them to continue to perform at a high level. And if we can increase the penetration and don't have interest rate headwinds, I think there's still upside.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Earl Hesterberg for any closing remarks. Please go ahead, sir.
Earl Hesterberg: Thanks, everyone, for joining us today. We look forward to updating you on our second quarter earnings call in July. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.